Operator: Thank you for standing by. This is the conference operator. Welcome to the Microvast First Quarter 2025 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. I would now like to turn the conference over to Microvast Investor Relations. Please go ahead.
Unidentified Company Representative: Thank you, operator, and thank you everyone for joining our update today. With me on today's call are Mr. Yang Wu, Founder, Chairman, and CEO; and Mr. Pat Schultz, CFO. Mr. Wu will start off with a high-level overview of the first quarter results before providing some operational and business updates. Mr. Schultz will then discuss our financials in more detail before handing it back to Mr. Wu to wrap up with our outlook and closing remarks. Ahead of this call, Microvast issued its first quarter earnings press release, which can be found on the Investor Relations section of our website, ir.microvast.com. We have also posted a slide presentation to accompany management's prepared remarks today. As a reminder please note that this call may include forward-looking statements. These statements are based on current expectations and assumptions and should not be relied upon as representative of views for subsequent dates. We undertake no obligation to revise or release the results of any revision to these forward-looking statements due to new information or future events. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release. After the conclusion of this call, a webcast replay will be available on the Investor Relations section of Microvast's website. And now, I will turn the call over to Mr. Wu for opening remarks.
Yang Wu: Thank you and thank you, everyone for joining today's call. For those new to Microvast and our value long-term listeners, I want to reiterate our company's core identity. Founded in Texas in 2006, Microvast stands as a global leader in the advanced battery technology sector. Backed by over 810 patents and applications and with our electrified solution successfully implemented worldwide, our unwavering commitment is to spearhead innovation in the ongoing energy transition ultimately contributing to a more sustainable future. Looking back at the past 12 months, we saw significant product milestones notably the introduction of the ME6, our pioneering overhaulable LFP-based energy storage system, engineered for diverse application, spanning utility scale storage to data center power. We achieved substantial progress in our silicon-based cell technologies and continued our advancements towards the development of all solid-state batteries. Innovation remains the cornerstone of our growth strategy and we look forward to sharing further exciting updates on those fronts. Please turn to Slide 4, and I will cover some key results from our record first quarter. The business posted record first-quarter revenue with 43% growth year-over-year, delivering $116.5 million. We achieved this growth while maintaining a gross margin of 36.9%, a 15.7 point improvement year-over-year. We once more saw triple-digit percentage growth of 108% for EMEA year-over-year. We continue to focus on improving both efficiency and profitability, and I am excited to announce we achieved profitability in this quarter. The company booked a net profit of $61.8 million, with adjusted net profit of $19.3 million and adjusted EBITDA of $28.5 million. Looking back several years, we have more than tripled our Q1 revenue, which indicates the strong market demand for our high-performance products. Our gross profit has also continuously improved, including a year-over-year increase of more than 100%. This milestone represents a significant achievement for Microvast and the broader battery sector, acknowledging the demanding nature and the long-term commitment required in this industry. Our rapid growth has provided invaluable learning experiences, enabling us to successfully commercialize products across our diverse technology portfolio and refine our manufacturing processes. Moving forward, our focus remains steadfast on continuous innovation, the execution of our strategic objectives, and our expansion to meet customer demand. On Slide 5, we will touch briefly on our consistency focus. At its core, Microvast is a vertically integrated battery technology innovator. Our primary engine for growth remains a strong commitment to technology and product development, with a promising pipeline of advanced solutions on the horizon. We are strategically focused on expanding our revenue streams through a diverse portfolio of products and services that actively support the global energy transformation. A key element of our strategy involves aggressively capturing greater market share. To this end, Microvast is making ongoing investments in the commercialization of both our currently available and our highly anticipated future advanced products. By maintaining this dual focus on pioneering product innovation and strategically expanding our market presence, Microvast strives to achieve significant and sustainable growth, and we aim to do this while optimizing our core business operations with a clear objective of attaining sustained profitability. Turning to Slide 6, I'd like to provide an update to our Phase 3.2 expansion. The clean rooms are nearly completed, utility equipment installation is complete, and we are currently installing the production equipment. Our Huzhou Phase 3.2 expansion project is on track to add up to two gigawatt-hours of annual production capacity, strategically positioned to, address the strong market demand for our solutions. This expansion leverages our established infrastructure and deep expertise, enabling the production of both our current and next-generation battery technologies. We anticipate achieving the first qualified production from this new line in the fourth quarter of 2025. Now, if you will please join me on slide 7. Microvast continues to achieve significant traction in the commercial vehicle sector, particularly within EMEA, where we saw over 100% growth year-over-year. To support this expanding global footprint and ensure operational excellence, we launched our new EMEA training center underscoring our commitment to providing world-class resources for both our team and our customers. A key testament to our strong market reputation is the win back of our value customer video. While we remain optimistic about our trajectory this past quarter presented headwinds, preliminarily due to global supply chain, uncertainties and trade disruptions, which have impacted the rollout time lines for certain light commercial vehicle platforms. Now, if you will join me on Slide 8 and 9, we have some exciting new business developments in our commercial vehicle segment. King Long is focused on developing manufacturing and selling large and midsized buses and light vans. Our batteries have been utilized in their e-Bus platforms for nearly a decade validating the real-world use case of our products. We will continue working with them to power clean transportation with our 21 amp-hour battery packs. Blackbuck is an Indian e-Bus manufacturer focused on bringing robust and clean public transportations and will utilize our 53.5 amp-hour battery packs. VDL is a long-running European bus OEM, focused on smart and sustainable transportation solutions and will utilize our 48 amp-hour battery packs, and continue our successful multiyear relationship. Lovol and Tonly Heavy are two of the largest heavy machinery producer in China, focused on offering high-tech and differentiated products including pure electric and unmanned vehicles. We are excited that both of those customers will utilize our Generation four battery packs. Finally, Irimoly will be utilizing several variations of our 48 amp-hour packs for their easy move hybrid mining trucks. Those are just some of the business highlights for the year so far, and we want to thank all of our global customers for their continued trust in our high-performance products. Moving to slide 10. I'd like to give a brief update on our advancements in next-generation battery technologies. As you can see, illustrated here, we have made significant strides in our proprietary 3D-printing capabilities, specifically for all solid-state batteries. We have developed both in-house printing technology, and specialized equipment. This innovative platform is designed to provide us with unprecedented manufacturing flexibility allowing for fabrication of all solid-state cells in a wide range of variable sizes and customized shapes. This adaptability in design could be a significant differentiator in meeting the diverse needs of future applications. Turning to second point. We are also very encouraged by the early results from our bipolar stock cell architecture preliminary testing our five-layer cell operating at a 0.33C rate has already demonstrated very high Coulombic efficiency of 99.89%. These initial findings suggest that this stacked cell design holds considerable promise for enhanced performance and improved system level efficiency compared to traditional cell configurations. While those are early results, we are actively engaged in further validation and rigorous long-term testing to fully understand and optimize the potential of this exciting technology. I would now like to turn the call over to Mr. Schultz to discuss our financials in more detail.
Pat Schultz: Thank you, Mr. Wu and thank you everyone for tuning in. I will now walk you through our financial performance. Please turn to slide 12. As Mr. Wu mentioned, we achieved a record first quarter with revenue reaching $116.5 million up 43% from $81.4 million in Q1 2024. This growth was fueled by strong EMEA sales for commercial vehicles. Gross profit for Q1 2025 was $43 million up from $17.2 million in Q1 2024, a 150% improvement driven by operational execution, increased utilization and disciplined cost control implementation. Our gross margin improved to 36.9% up from 21.2% in Q1 2024, a 15.7 percentage point improvement. Operating expenses were reduced to $25.5 million in Q1 2025 compared to $40.9 million in Q1 2024, a 38% decrease from the prior period. This reduction across G&A and R&D was largely due to reductions in share-based compensation and cost control measures we implemented throughout 2024. The increase in sales and marketing was primarily due to our global marketing efforts and customer engagement activities as we continue to expand our product footprint. We reported a GAAP net profit of $61.8 million in Q1 2025 compared to a net loss of $24.8 million in Q1 2024. After adjusting for non-cash items such as share-based compensation expenses and fair value changes of our warrant liability and convertible loans adjusted net profit came to $19.3 million a substantial improvement from an adjusted net loss of $13 million in Q1 2024. After adjusting for non-cash share-based compensation expenses, our adjusted operating expenses in Q1 2025 decreased to $24.9 million compared to $30.1 million in Q1 2024. We reported positive adjusted EBITDA for the quarter reaching $28.5 million, as we maintain our focus on achieving sustainable profitability compared to a negative adjusted EBITDA of $3.7 million in Q1 2024. The impact of these adjustments and reconciliations of these non-GAAP metrics to the most comparable GAAP metrics are included in the tables at the end of our press release and this slide presentation. On Slide 13, we show the geographic breakdown of our revenue mix for Q1 2025 compared to the prior period. Our EMEA business grew by 108% year-over-year and accounted for 52% of our quarterly revenue, up from 36% a year ago as we continue to grow our partnerships and key customers continue to ramp their vehicle production. The U.S. increased from 2% to 5% of revenue share compared to Q1 2024, as we continue making inroads with domestic commercial vehicle customers. The APAC region saw a decrease of less than 1% year-over-year, as we continue to target higher-margin opportunities. Please turn to Slide 14 and we will briefly review our cash flow for the period. Net profit for the three-month period was primarily offset by a $19.4 million increase in net receivables, a $15.8 million decrease in inventory and a $21.3 million decrease in net liabilities and accrued expenses. There was also a noncash adjustment of $43.2 million from the changes in fair value of warrant liability and convertible loan. This resulted in positive operating cash flow of $7.2 million. From investing activities, we saw an outflow of $2.3 million for the period primarily due to net capital expenditures. For financing cash flow, we saw a net inflow of $9.5 million. Overall combined with a slightly negative impact from exchange rates of $0.9 million, we had an increase in cash of $13.4 million. This resulted in total cash, cash equivalents and restricted cash of $123 million at the end of the quarter. Our financial performance underscores the development of a profitable and resilient foundation supported by increasing market demand notably in EMEA. Our ongoing emphasis on achieving sustainable profitability enhancing margins and improving operational efficiencies is further solidifying our standing. We remain dedicated to executing our strategic vision and are confident that our continued progress will increasingly highlight the intrinsic value Microvast offers to the energy storage and electric vehicle markets. With that, I will hand it back over to Mr. Wu to go over our outlook and closing remarks.
Yang Wu: Thank you. Please turn to Slide 16, which provides a summary outlook for the rest of the year. As we look ahead through the remainder of 2025, our initial guidance remains an anticipated year-over-year revenue increase of 18% to 25%, placing our target range between $450 million and $475 million. We also continue to aim for full year gross margin of approximately 30%. Our APAC operations are focused on bringing the Phase 3.2 expansion, at our Huzhou facility online, later this year. This additional capacity expected to reach up to 2 gigawatt hour annually, will be crucial in meeting the robust customer demand, across our diverse portfolio. Our team are also making significant advancements in developing new and exciting products, that will further enrich our offerings. We anticipate that our high-growth EMEA business, will maintain its strong momentum, continuing to drive year-over-year revenue increases. We are actively pursuing new strategic partnerships in the region to support both our current and upcoming product lines. In America, we foresee continued revenue growth and our company remains diligent in assessing its financial needs and evaluating available options, to support our strategic objectives in current and future markets. Despite navigating specific regional market pressures, our proactive cost management and a strategic focus on high-demand sectors have positioned us well for continued growth in 2025. Our priorities for the remainder of this year are firmly set on achieving positive cash flow, sustaining our strong gross margin profile and expanding our market reach through ongoing innovation and strategic collaborations. We are confident in our ability to leverage the expanding electrification trend, and deliver meaningful long-term value to our shareholders. Thank you everyone for joining us today, to review this historical quarter for the company. We look forward to updating you again, next quarter.
Operator: This is the conference operator. This concludes the webcast. Thank you for joining Microvast's First Quarter 2025 Earnings Call. You may now disconnect.
End of Q&A: